Operator: Good day, ladies and gentlemen, and welcome to the Resources Global Professionals Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to Kate Duchene, Chief Legal Officer. Please go ahead, ma'am.
Kate W. Duchene: Thank you, operator. Good afternoon, everyone, and thank you for participating today. Joining me on this call are Don Murray, our Executive Chairman; Tony Cherbak, Chief Executive Officer; and Nate Franke, our Chief Financial Officer. During this call, we will be providing you with comments on our results for the fourth quarter of fiscal year 2013. By now, you should have a copy of today's press release. If you need a copy and are unable to access via our website, please call Patricia Marquez at (714) 430-6314, and she'll be happy to fax a copy to you. Before introducing Tony, I'd like to read an important announcement about certain statements that we may make during this call. Specifically, we may make forward-looking statements. In other words, statements regarding future events or future financial performance of the company. We wish to caution you that such statements are just predictions, and actual events or results may differ materially. We refer you to our 10-K report for the year ended May 26, 2012, for a discussion of some of the risks, uncertainties and other factors, such as seasonal and economic conditions that may cause our business, results of operations and financial condition to differ materially from results of operations and financial conditions expressed or implied by forward-looking statements made during this call. I'll now turn the call over to Tony Cherbak, Chief Executive Officer.
Anthony Cherbak: Thanks, Kate. Good afternoon, and welcome to the Resources Global Fourth Quarter Conference Call. I'm going to begin by giving you a brief overview of our fourth quarter and year-end operating results. Total revenue for the fourth quarter was $140.2 million, up 1.6% from our third quarter revenue of $138 million, but down 3.6% from last year's fourth quarter of $145.5 million. For the year, revenue declined 2.7% to $556.3 million versus $571.8 million in fiscal 2012. Fourth quarter gross margin was 38.9%, representing a 180-basis-point improvement from the third quarter, but a decrease of 130 basis points from the fourth quarter a year ago. During the fourth quarter, we recorded a charge of approximately 1,150,000 or $0.03 per share to reduce headcount in certain of our European offices. Of the total, approximately 525,000 was recorded in cost of services and 625,000 in SG&A depending on whether the person impacted was an employee consultant or a front office personnel. The 525,000 charge to cost of services reduced our fourth quarter [ph] gross margin by 40 basis points. During the fourth quarter, our SG&A costs were $42.3 million, which includes the $625,000 of aforementioned severance cost. Excluding this cost, fourth quarter SG&A was $300,000 lower than the comparable quarter a year ago and about the same as our third quarter. Excluding the severance charge, fourth quarter SG&A was slightly better than we anticipated based primarily on lower compensation-related costs. We remain focused on tightly controlling our SG&A spend while investing for the long-term benefit of the company. During the fourth quarter, we generated cash flow from operations and adjusted EBITDA of $16.9 million and $13.9 million, respectively. For the quarter, our pretax income was $10.7 million. Based upon an effective tax rate of 50.4%, our fourth quarter GAAP net income was $5.3 million or $0.13 per share, which includes a $0.03 per share impact of the severance charge. Now let's talk about revenue trends. As we reported in early April, weekly revenues during the first 4 weeks of the fourth quarter averaged $11.2 million. For the remaining 9 weeks of the quarter, weekly revenues range from $10.2 million to $11.2 million, averaging $10.6 million per week. The decline in weekly revenues during April and May occurred in the U.S. and Europe. Consistent with past quarters, our Fortune 500 client base remained cautious in their spending and business initiatives as they struggle for revenue growth. In the U.S., our revenue was up 2.3% sequentially but down 0.4% quarter-over-quarter. Europe's fourth quarter revenue declined 5.1% sequentially and 12.5% quarter-over-quarter. In Asia Pacific, revenue increased 12.2% sequentially but decreased 10.7% quarter-over-quarter. On a constant currency basis, Asia-Pacific's sequential increase was 18.3% and the quarter-over-quarter decrease was only 2.9%. The sequential increase in revenues out of Asia Pacific was driven by growth in Japan, China and Singapore. During the early weeks of our first quarter of fiscal '14, our non-holiday weekly revenue has averaged approximately 10.8 million per week, about even with our non-holiday weekly average of 10.9 million in the fourth quarter. During the fourth quarter, we repurchased approximately 1.1 million shares of our common stock at an aggregate cost of $12.3 million or $11.23 per share. For fiscal 2013, we repurchased approximately 2.9 million shares, representing about 6.9% of our shares outstanding as of the beginning of the year at an aggregate cost of $34.2 million or $11.75 a share. During fiscal 2013, we returned almost $43.7 million to shareholders through our share repurchases and dividends. With that, I will now turn the call over to Nate for a detailed review of our financial results.
Nathan W. Franke: Thanks, Tony. As mentioned, revenues for the quarter were $140.2 million, up 1.6% sequentially, but down 3.6% quarter-over-quarter. On a constant currency basis, the sequential increase was 2.2% and the quarter-over-quarter decrease was 3.1%. In the fourth quarter, revenues in the U.S. totaled $108.3 million, up 2.3% sequentially but down 0.4% quarter-over-quarter. For the fourth quarter, total revenues internationally were $31.9 million, down 13.6% quarter-over-quarter and 0.6% sequentially. International revenue accounted for approximately 23% of total revenues for the quarter, the same as the third quarter of fiscal 2013 and versus 25% in the prior-year quarter. Europe's fourth quarter revenue decreased 12.5% quarter-over-quarter and 5.1% sequentially, while Asia Pacific saw fourth quarter revenues increased 12.2% sequentially but declined 10.7% quarter-over-quarter. As Tony mentioned, on a constant currency basis, total international revenue increased 1.9% sequentially and decreased 11.4% quarter-over-quarter. On a quarter-over-quarter basis, the U.S. dollar was even against the major currencies in Europe and stronger against the Asia Pac currencies. As a result, on a constant currency basis, Europe's quarter-over-quarter revenue was not significantly impacted, while Asia Pacific's quarter-over-quarter revenue would have decreased 2.9%. Let me now discuss early revenue trends for the first quarter of fiscal 2014. Weekly revenues for the first 6 weeks of the first quarter, which include the Memorial Day and Fourth of July holidays, added to approximately $60.7 million, which is approximately 3.5% lower than the same period last year. On a weekly basis, the weekly revenues were: $9.5 million during Memorial Day week, $10.7 million, $10.9 million, $10.6 million, $10.8 million; and during the Fourth of July holiday week, $8.2 million. In thinking about the remainder of the first quarter, it is important to remember that we generally lose about 5% of weekly revenue due to vacations taken by consultants in the U.S. and Europe during the July through August time frame. I'll now discuss gross margins. Gross margins for the fourth quarter was 38.9% versus 40.2% in the year-ago quarter and 37.1% in the third quarter. The 180-basis-point increase in sequential gross margin stems primarily from the lack of U.S. holidays during the fourth quarter and the reduced impact of FICA taxes. On a quarter-over-quarter basis, the 130-basis-point decrease in gross margin stems primarily from increased medical costs, a decline in bill pay rate ratio and reduced leverage of benefit cost against lower revenue. As Tony mentioned, during the fourth quarter, we recorded a severance charge, a portion of which reduced our gross margin by $525,000 or 40 basis points. The charge was related to reducing the number of salary consultants in Europe. Excluding reimbursable expenses, our fourth quarter gross margin was 39.7%, which compares to 41% in the fourth quarter a year ago. The average rounded billing rate for the quarter was approximately $128, up from $127 in the third quarter, but down from $129 a year ago. The average rounded pay rate for the fourth quarter was approximately $64, up from $63 in the third quarter and the same as a year ago. Please remember these hourly rates are derived based on prevailing exchange rates during each given period. Primarily due to the impact of summer vacations and the Memorial Day and Fourth of July holidays in the U.S. during the first quarter, we would expect gross margin to decline sequentially by approximately 70 to 80 basis points. For the fourth quarter, gross margin in the U.S. was 40.9% and our international gross margin was 32%. Our consolidated gross margin for fiscal 2013 was 38.5% compared to 38.3% in fiscal 2012. Now for headcount. For the fourth quarter, the average consultant FTE count was 2,217. This compares to 2,254 in the previous quarter and 2,284 in the year-ago quarter. Quarter-end consultant headcount was 2,208 versus 2,317 a year ago. The total headcount of the company was 2,915 at quarter end. Selling, general and administrative expenses for the fourth quarter were $42.3 million or 30.2% of revenue versus $42 million or 28.9% of revenue a year ago. As Tony mentioned, our fourth quarter fiscal 2013 SG&A includes $625,000 in severance charges related primarily to European personnel. Excluding the severance charge, fourth quarter SG&A was similar to our third quarter and down approximately $300,000 from a year ago. The sequential increase was less than anticipated due primarily to lower compensation-related costs. We believe SG&A expenses in the first quarter of fiscal 2014 will decline by approximately $800,000, primarily due to lower compensation costs and the impact of the severance charge in the fourth quarter. Stock compensation expense was $1.7 million or 1.2% of total revenue, down from $1.8 million in the third quarter and $1.9 million in the fourth quarter of fiscal 2012. We would anticipate quarterly stock compensation expense to approximate the fourth quarter amount in the upcoming quarters. At the end of the fourth quarter, our office count was 73: 47 domestic and 26 international. During the quarter, we closed our Boise, Idaho and Raleigh, North Carolina office, but continued to serve those markets from other offices. Related to other components of our financial statements, depreciation and amortization was $1.5 million for the quarter, about the same as last quarter. We would expect depreciation and amortization expense for upcoming quarters to approximate $1.5 million per quarter. Our adjusted EBITDA or cash flow margin, which we define as EBITDA before stock compensation and contingent consideration adjustments was 9.9% in the fourth quarter, a 160-basis-point increase from 8.3% in the third quarter and a 270-basis-point decrease from the year-ago quarter. For fiscal 2013, our adjusted EBITDA percentage was 9.6%, down slightly from 9.9% in fiscal 2012. During the fourth quarter, on a GAAP basis, we recorded a provision for income taxes of $5.4 million on pretax income of $10.7 million, representing an effective tax rate of approximately 50.4%. Our fourth quarter effective tax rate was higher than recent past quarters, due to slightly greater pretax losses in Europe caused primarily by the severance charge during the fourth quarter. Excluding the severance charge, for which we recorded no tax benefits, the fourth quarter effective tax rate would have been 45.5%. Our fiscal 2013 effective tax rate was 48.6% and continues to be impacted by our current inability to offset income and tax jurisdictions, in which we are profitable with losses, and tax jurisdictions in which we are not. Our cash tax rate continues to approximate 42%. Our GAAP tax rate for each of the upcoming quarters is difficult to predict and could be volatile as the rate will be dependent on several factors, including the mix of operating results between our U.S. and foreign locations, each of which are taxed or benefited at different statutory rates and the offset of the tax benefit of foreign losses in certain locations by valuation allowances. In summary, our GAAP per share income during the fourth quarter was $0.13, which includes the $0.03 per share impact of the previously mentioned severance charges. For fiscal 2013, our GAAP per share income was $0.50, slightly better than the non-GAAP per share income of -- in fiscal 2012 of $0.48, which excludes adjustments to contingent consideration during that year. Related to the balance sheet, cash and investments at the end of the fourth quarter were $119 million, about the same as at the end of the third quarter. Cash generated from operations during the fourth quarter was $16.9 million, offset in part by share repurchases and dividends totaling approximately $14.7 million in capital expenditures of approximately $700,000 during the quarter. For fiscal 2014, we anticipate capital expenditures of approximately $3 million, of which approximately $1.3 million should occur in the first quarter. For fiscal 2013, we generated cash flow from operations of $35 million. After repurchasing 1.1 million shares at a cost of $12.3 million during the fourth quarter, our current stock buyback program has approximately $72.6 million remaining. We will continue to return cash to shareholders through our regular quarterly dividend and share repurchases, while maintaining a balance between the capital requirements of growing our business and fiscal prudence. Our shares outstanding at the end of the fourth quarter were approximately 39.7 million. Receivables at quarter end were approximately $84.2 million compared to $90.2 million at the end of the third quarter. Days of revenue outstanding were approximately 55 days, similar to the prior year's comparable quarter and down 4 days from 59 days in the third quarter. Now I'd like to call the -- turn the call over to Don for some closing thoughts.
Donald B. Murray: Thank you, Nate. I think it goes without saying that revenue growth remains our key focus. During the fourth quarter, we continued to feel the impact of our client's tight SG&A spending constraints as they faced their own revenue pressures and they worked to improve earnings through expense management. Aside from revenue, I am pleased with our ability to maintain relative stability in our year-over-year key operating metrics, including grace -- gross margin and our adjusted EBITDA margin. The cash generation capability of our business remains strong, allowing us to continue to return $43.7 million to our shareholders during fiscal 2013 in the form of dividends and share repurchases. Our Board of Directors will evaluate and increase our dividend at their upcoming meeting. [indiscernible] continue our trend of share repurchases in fiscal 2014 while maintaining the flexibility to take advantage of appropriate acquisition opportunities that may present itself. Now as we begin 2014, I believe our focus on retention of our large clients and establishing new client relationships should begin to pay dividends. During just the past few weeks, we have been informed by several large clients that they are in the early stages of beginning transformational initiatives that could require significant RGP assistance. And these initiatives relate to corporate divestitures, information system, business process standardization, back office consolidation and regulatory compliance. In certain cases, these initiatives will expand the next couple of years. While it's too early to estimate the revenue potential associated with these projects, it is nice to see what seems like a pickup in client activity planning, the beginning initiatives that held off for the past several months or years. In fiscal 2014, we'll continue to focus on our growth initiatives. We are pleased to announce the first 2 subscription sales: Pavisse, our newly developed software tool to assist hospitals with compliance around incident monitoring and reporting. Our health care team has been busy demonstrating the software to numerous providers, and we look forward to building the user base during fiscal 2014 and beyond. Placement of software will allow us to expand our clinical patient safety, consulting capabilities at these clients. In turning to conflict minerals, while many covenants continue to take the cautious approach as a result of the U.S. Chamber of Commerce litigation, we continue to see a steady flow of client request for advice and support in their initial conflict mineral compliance efforts. We don't expect the courts to hear the case until the fall of this year. We are pleased to announce Tony assuming my role as Chief Executive Officer at the beginning of fiscal 2014. The company is positioned well to prosper under Tony's stewardship. In my role as Executive Chairman, I will focus my attention on our large clients, which coupled with our people, continue to be tremendous assets in our company. And related to our clients, I am pleased to report the following statistics for fiscal 2013: client continuity is outstanding. During fiscal 2013, we served all of our competency clients from fiscal 2012 and 48 for 2011. In fiscal 2013, we served 216 clients exceeding $500,000 in fees, compared to 218 clients at this level in fiscal 2012. And during fiscal 2013, our top 50 clients represented 39.3% of total revenues while 50% of our revenues came from 87 clients. So our loyal client following is respective of our client service approach, the quality of our loyal [indiscernible] and consultants. Our largest client for the quarter was approximately 2.4% of revenues. In fiscal 2013, 98% of our top 50 clients used more than 1 service line and 76% of those competent clients used 3 or more service lines. In this, service penetration reflects the diversity and relationships we have within our client organization. So this concludes our prepared remarks. We'll be happy to answer your questions at this time.
Operator: [Operator Instructions] The first question comes from Kevin McVeigh from Macquarie.
Kevin D. McVeigh - Macquarie Research: I wonder, it sounds like you're starting to see some signs of pickup on the M&A side and things like that. What percentage are the revenues at currently? And Tony, I know you've commented in the past on what's kind of more revenue-enhancing opportunities as opposed to cost-cutting projects, and how those trends just, overall, are trending? Are we seeing more towards revenue-enhancement or is it still pretty, pretty, pretty close to cost-cutting projects?
Anthony Cherbak: Well, I would say on the M&A side, Kevin, what we're seeing is a lot of companies going through some divestitures, and we're doing a little bit of work there on the carve-out side. I would tell you that a lot of the projects that we're seeing our clients do, though, are pretty extensive. We're trying to further cut costs and that's -- we see that in the supply chain management projects, and we also see them just doing a lot of work around, taking costs out of their supply chain. We also see a lot around IT to further improve their productivity and therefore, cut their employment costs.
Kevin D. McVeigh - Macquarie Research: Got it. And then in terms of -- it looks like there was a little spread compression, number one. And then you closed some offices, any thoughts on kind of the office closures, particularly given where we are in the cycle?
Anthony Cherbak: I think the office closures were really more -- we were just taking a look at being able to serve them out of nearby markets, as well as eliminating some of our own occupancy costs. So we're always taking a look at where we can save money, and we continue to look at, probably, a couple of other offers..
Donald B. Murray: I think Tony has been focused on where we invest our money. And if we can take some of the nonperforming offices and use that overhead and invest it into more performing offices, that's going to pay off a lot quicker than some of these other markets.
Operator: The next question comes from Sara Gubins from Bank of America.
Sara Gubins - BofA Merrill Lynch, Research Division: Could you talk about potential run rate savings from the headcount reductions and whether or not any of that was included in the fourth quarter results?
Nathan W. Franke: Yes, Sara, the -- on an annualized basis, the total people come out to about 500,000 per quarter, but that would be allocated. Some of them were consultants so with it -- more or less be into the gross margin or cost of revenues. The impact on SG&A was included in the numbers I gave in terms of the 800,000 decrease from the GAAP number in Q4.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay, great. But if we're -- as we're thinking about cost of services, it would be reasonable to think that you'd be able to get the lower -- but that would be lower by that 500,000 per quarter going forward?
Nathan W. Franke: Yes, I mean, it probably is a 10- to 20-basis-point impact on gross margin, all else being equal.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay. When you talked about gross margin declining sequentially, 70 to 80 basis points from fourth quarter to first, just to check, that was reported gross margin, correct, not backing out?
Nathan W. Franke: That's correct. Yes, all the comparisons were based on the GAAP-reported numbers.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay. And then I'm wondering if you could talk about areas of strength and weakness by capability that you're providing, and within that, if you've seen much pickup on the health care front.
Nathan W. Franke: I think the health care has been nice and steady. I mean, there's been a lot of emphasis on, obviously, the developing of the Pavisse system, so those first implementations are happening during the current quarter, and I think we're seeing a fairly nice level of requests for demonstrations. So that is something over the long term as you -- if we can build that, will help us from a revenue standpoint. I think as Tony mentioned, some of the other areas of strength is, again, around kind of the regulatory and business process improvement, which is both IM, supply chain, and I'd get back to, I think, what Kevin was asking about some of the demand in -- there's a sense that companies were starting to move forward on things that had been deferred and that they tend to be, I would label, compliance or business process improvement efficiency type stuff.
Operator: The next question comes from Jeff Silber from BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: I know you gave us trends in your billing rate, but sometimes that can be impacted by mix shift. I'm just wondering if you could talk about the pricing environment out there.
Anthony Cherbak: Pricing, the pricing environment is fairly stable, Jeff. I would say that we're not seeing any irrational pricing by the big 4 anymore, but it's still somewhat competitive. Every company is trying to get the best deal that they can. But I'd say it's pretty -- it's fairly stable with past quarters.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay, great. Can you also give us a little bit more color what's going on in Europe by specific country?
Anthony Cherbak: Sure. I'd say the good news in Europe is we've made great progress. We are jiggling our United Kingdom office, pretty confident about their prospects for fiscal 2014, both from skill set perspective and just relative to the overall management of the office, so that's been a big positive for us. The Netherlands has also done quite a bit of restructuring just last year to significantly improve their profitability. I would tell you that generally relative to a lot of the other offices, Europe is just a very difficult environment right now with their continued debt crisis and the austerity measures that are going on in all of the countries over there. It's just a tough, tough market. But we basically ask the -- ask all our MDs to go where the spend is. We know that their clients are spending money somewhere and they need to go out and find where that spend is and adapt their services to be able to help our clients, so that's really what Europe looks like.
Operator: [Operator Instructions] The next question comes from Andrew Steinerman from JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Tony, I wanted to ask about the RGP rebranding initiative. I saw a couple of the commercials recently. Historically, Resources has not been marketing and branding oriented. Is this a change or is this just sort of a one-time refresh? Have you seen any results from the rebranding efforts?
Anthony Cherbak: Well, Andrew, you're right, we haven't typically done this. We've always heard that we're the best-kept secret in town. We don't want to be the best-kept secret so we decided to -- at the advice of Mike Sitrick, to put the commercials on television and to see how the -- what the reaction was. We have heard some very positive things from our clients and our consultants about the commercials. We think it reflects what we do well. We're going to take the summer off of the commercials and then start them up in the fall again and continue them for the next 3 quarters. At that point in time, well make a determination based upon what we see in terms of our revenue as to whether we redo the television or take our money and spend it in some other media on the advertising side.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Okay. And, Tony, just to be specific, since you just took the mantle, there's a reference kind of repetitively to growth initiatives, and in my mind, the growth initiatives that the company has mentioned clearly is health care and mineral compliance. When you think about the growth initiatives under your tenure, are there other specific growth initiatives you could talk about yet?
Anthony Cherbak: Yes, I'm absolutely rather excited by some of the alliances that we have looked at and are contemplating entering, ones that we have entered and ones that we're contemplating entering into, and these are alliances with companies that have products or services that could benefit our clients and provide us with some incremental revenue opportunities.
Operator: The next question comes from Mark Marcon from R. W. Baird.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Wondering if you could talk a little bit about what you've been seeing in Asia. It seems like things have gotten a little bit better there.
Anthony Cherbak: Yes, in Asia, we've had a great comeback by our Chinese practice. They were up well over 20% during the quarter. Singapore is doing great as Japan is working their way back. As we talked about last quarter, we talked about the fact that Japan had 3 rather significant projects that ended and so they're just working their way back, trying to redeploy that -- those consultants on other projects. But I'm rather pleased with how Asia has developed. I've been to offices that take us 85% -- that make up 85% of that practice are obviously China and Japan, and I'm pleased with the direction of both of those practices at this point.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. And then with regards to information management, what percentage of the consultant base would you say is involved in that?
Anthony Cherbak: Well, information management makes up approximately 20% of our revenues, so I'd just take a guess that it's probably 20% of our consultants. I don't have the exact number off the top of my head but it's...
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Are the bill rates at the same corporate average?
Nathan W. Franke: They're pretty similar, Mark, and then what you find is a lot of the supply chain and even some of the finance and accounting crossovers, so -- but I think the stats Tony gave you in the bill rates are roughly comparable.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. What are you seeing in terms of length of assignments at this point given the corporate hesitancy that's out there?
Anthony Cherbak: It's general. If we had to peg it at just put 1 peg on the length of an assignment, I would have to say it's probably 3 months. And then depending on how that assignment is, it can possibly -- they can probably -- possibly get extensions. And usually those extensions come in 1 month increments. But I'd still say there's still quite a bit of budget constraints and concerns. So generally, if we have a 3-month assignment, it ends after 3 months with some exceptions.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Okay. But I mean, they're staying relatively stable?
Anthony Cherbak: Yes, yes, that's correct.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Great. And so what are you hearing on the Sarbanes front?
Nathan W. Franke: In terms of Sarbanes-Oxley?
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: Right. I mean, not Sarbanes-Oxley.
Nathan W. Franke: The conflict minerals?
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: No.
Nathan W. Franke: [indiscernible] Dodd-Frank?
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: I'm thinking Dodd-Frank, sorry.
Nathan W. Franke: Yes, I think that it continues to be -- I think a number of our financial institution clients, we have -- that continues to be people that we're putting out, helping them with compliance. As you still know, there's lots of rules. It seems like they're starting to fine-tune some of the capital rules that are being closely watched, so that continues to be a demand driver across our FSA clients.
Anthony Cherbak: One of the other things, Mark, that has particularly helped us on Dodd-Frank is getting some of our legal folks involved because as you know, we've made significant investments in our legal practice over the last 6 to 12 months putting new legal investments in like Seattle, in Northern California, in New York and that's really helped growing the market with our FSI people, with our financial people taking out the legal people has really helped us in that regard.
Mark S. Marcon - Robert W. Baird & Co. Incorporated, Research Division: I mean, at what point do you think between IM and legal and supply chain that the improvement in those categories kind of starts offsetting a little bit of the general softness that we're seeing with regards to corporate budgets?
Anthony Cherbak: Well, I'm thinking that the first quarter is probably going to be a little bit tough for us, but I'm very optimistic after that. Going into the second quarter and the balance of the year, I'm optimistic that we're going to see exactly that.
Operator: I am showing no further questions. I would now like to turn the call back over to Don Murray.
Donald B. Murray: Okay, this is Don. And we all thank you for your continued support and interest in Resources and looking up to our next update for the first quarter of fiscal 2014. Thank you.